Operator: Good afternoon, ladies and gentlemen and thank you for standing-by. Welcome to today's Sherritt International Corporation Second Quarter 2017 Results Release Conference Call and Webcast. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, Thursday, July 27, 2017 at 10:00 AM Eastern. I will now turn the conference over to Ms. Flora Wood, Director, Investor Relations. Please go ahead.
Flora Wood: Thank you, everybody who's joined in the call this morning. I'll remind everyone that we do have forward looking statements of slide comments we make in our remarks and then also later in the Q&A. With me today in the room, I have David Pathe, CEO; Andrew Snowden, CFO; and Steve Wood, COO. And I'll turn over to David.
David Pathe: Okay. Well thank you Flora, good morning everyone. I know from the calendar it is quite a number of companies that with earnings last night and this morning that I know it's a busy day, so thank you everyone for taking the time to joined us this morning. What we're going to do - what we normally do here, I'm going to touch on a few highlights and talk a little bit about nickel and cobalt and then we'll have Steve give you a bit of an update on operations and Andrew talk about finance a little bit before we come back and take your questions. Starting into the slides then on Page 3 there's a few of the highlights from the quarter. We ended the quarter with cash balance so strong of $274 million including a little debt repayment again in the quarter. Q2 is traditionally a heavy cash quarter for us based on the timing of interest payments on our debentures and the timing of cash in the seasonality in fertilizer receipts, and Andrew will talk a little bit more about that. We also had some reductions in our CapEx, our oil CapEx is half by about $20 million bucks that reflects the savings that we were able to realize in our drilling costs in Block 10 that we've talked about last quarter. And we've also deferred some seismic we're going to shoot in one of our other newer blocks late this year or into next year. There is potential for some further capital reduction and I'll touch on that a bit towards the end. On the Slide 4, just a quick summary on our battery restructuring transactions that we announced during the second quarter this is the solution to our 40 for 12 issue that we've had in the Ambatovy capital structures that we've been dealing with really since financial completion in October of 2015. The basic deal is still there and that we will see ourselves go from a 40% equity interest in the project to a 12% interest in exchange for that we'll essentially remove the $1.4 billion in non-recourse debt that is effectively link to the 70% of our 40% interest in the project. We continue to work through that with our partners where we're on the verge we hope of finalizing definitive documentation and still on track for closing hopefully whether into Q3 if not Q3 be into Q4 turning largely on the timing of getting the senior lender consent. In an interim that you'll see that Ambatovy still continues to flow through all of our financial statements at the 40% rate even though our interest is effectively 12% given where those partner loans are and we'll look to see that better reflected the economic reality of that reflect in our financial statements once we get this deal close. Moving on to nickel and cobalt markets, Slide 6 really tells two different stories based on what we're seeing in nickel and cobalt so far this year. Nickels had a tough first six months and can see it's of 10% or so, so far in 2017 after a bit of a rally in late last year, certainly pressures on availability of war out of Indonesia and the Philippines as where weighing on prices at the moment. But we have seen a little bit of an uptick in a rally in the last few days. We are still actually quite confident that we will in time to see more of bifurcation in the nickel market as we come to understand and the market comes to understand that the difference in different types of nickel. We produce Class 1 LME grade nickel in both of our operations and that is goes towards not just stainless steel, but also as well so far battery demand, which is really what's driving the cobalt price. On nickel demand we have seen stainless remain relatively flat and that availability of war out of Indonesia and the Philippines for nickel pig iron while potentially growing in size is really only available for stainless steel consumption and that is what's weighing on the price. However if you look at Class 1 nickel and primary nickel we've seen really that's where the growth in demand is really coming from and the back of an expected growth and from battery production, and we've been in deficits on for primary nickel for the last two quarters and I'll touch on that a bit more as we look at inventories in a moment. Cobalt on the other hand is continuing and accelerating the great run it got out in the second half of last year, and we saw cobalt prices run significantly in the second half of 2016 and that progress has continued in the first six months of 2017. Cobalt now is trading in £27, £28 of up for lows of $9 or $10 in the middle of last year. We started the year with an estimate internally in our cost forecasting to $14 dollars that we've up to $24 and that's partly what's behind our reductions in our cost guidance this year, but you can get spot prices even that's now looking a bit conservative side. Over the page you do see the chart showing global nickel inventories in the last two years. We have talked about LME inventories in the past that maxed out last year around 225,000 tons, they came off to around 375,000, 380,000 tons, but they've been kind of stubbornly more or less at that level for the last few months. Looking at nickel inventories in total however we are seeing more of a decline, we've gone below 500,000 tons in terms of global nickel inventory for the first time in a couple of years and from their peaks global nickel inventories are up about 15% so far. As I mentioned there's data from CRU says for the last probably six quarters, now there's been a deficit between our production consumption of primary nickel, and I think that's what starting into even into that inventory, and we expect to see that trend continue as the consumption and ramp up they were expecting to see in battery and other more sophisticated applications of nickel beyond stainless steel for which only primary nickel can be used and the Indonesian and Philippine wars don't contribute to that supply. Cobalt has been quite a story lately, the Slide 8 just shows you with the headlines there and what's the attention that cobalt is driving it is this focus on electric vehicles and the trend on that is and the forecast of the rate of adoption from the next 10 years very quiet wildly, but they all see much more aggressive adoption and usage of electric vehicles over the next 10 years. In the last few months we've seen automotive manufacturers make greater commitments to battery and electric vehicles, Volkswagen talking about all electric and hybrid vehicles by 2019 similarly we've seen countries mandating the use of electric vehicles or at least looking to eliminate the use of internal combustion engines. France, China has a big push on this, the UK just last few days looking to eliminate internal combustion engines in new vehicles by 2040. And as a result of that we are seeing battery manufacturers looking to focus on security of supply for cobalt. Cobalt's contribution to us is obviously significant particularly at Moa where we have very strong cobalt to nickel ratio. We produce £8, £8 or £9 of nickel for each pound of cobalt making it one of the higher cobalt producing relative operations in the world, which is most relevant to us, because as Moa is about two nickel operations where we actually see the immediate cash benefit. Despite that £8 or £9 to one nickel to cobalt ratio you can see on the chart here that 30% odd of our revenue in Moa looking from cobalt 45% came from nickel just to give you a sense of the exposure we have to nickel and cobalt every $5 change in the cobalt prices worth about $26 bucks to us and that's our 50% share at Moa dollar change in the nickel price is worth about $45 million, $46 million to Moa. Lastly from me on Page 10 there, you will see the nickel industry cost curve that we typically look at each quarter, just a couple comments on that from me. This quarter we've tried to highlight the operations on that curve that we do have the benefit of some cobalt credit you can see they are largely congregated down the lower end of the cost curve, because of that increase in the cobalt credit that we and other producers are seeing. We did see the 25th percentile in the cost curve come down quite a bit, but it is down a little bit conversely the net direct cash cost of 50th percentile say relatively flat in the quarter. I think really reflecting that absent in by-product credits there's not really much more ability for the industry to lower cost beyond where we are today. The other point I just make on this and we've been making this point for a while, you see the spot from year-to-date price there cut through the graph and it still shows that 35% odd of the industry is under water in a cash margin basis, while that has persisted to quite some time continue to believe that is not sustainable over the long term and you are starting to hear bit more talk in the industry again now particularly having been through a period of particularly low nickel prices again the first half of this year, but whether it's going to be some supply side response to that response to low nickel prices. That's what I wanted to highlight for you this morning. We will come back as I say and take your questions at the end, but now I'm going to ask Steve to just touch on a few operational highlights before we go to Andrew.
Stephen Wood: Thanks a Dave and good morning to everyone. As usual I'd like to begin by commenting on our safety and sustainability efforts. We continue to work hard in the area of safety to ensure that all people at our sites go home safe and healthy every day and we're seeing good results coming from those efforts. For example of Fort Saskatchewan that is oil and gas and the Ambatovy operations have been loss time injury free thus far in 2017 with combined numbers of over 15 million hours since the last LTIs. Moa on the other hand if not had the same success and we continue to work with our partners there on this subject. On sustainability I'd like to point out that Sherritt's annual sustainability report was released June 13 and can be viewed at sustainability.sherritt.com. It outlines the company's sustainability approach and our performance. On to Slide 12, now most nickel production was lower than expected with our sales being about 100 tons less than production. Cobalt production held up better although lower than that of Q1 this year. Dave talked about the positioning of our operations on the cost curve, and I'm very pleased to see that Moa's costs are competitive with nickel sulfide mines. I'd like to take a moment to talk about fertilizer as well, as it's very unusual for fertilizer to be a net cost in the NDCC breakdown rather than a credit. I remind you that the other line item aggregates fertilizer credits and marketing costs and discounts as well as other by-products like sulphuric acid. This year we have lower fertilizer margins as were squeeze that both the price and with continuing price pressure and the cost side because of our planned shutdowns. Ambatovy production year-to-date of 18,150 tons means the operation has to produce 23,350 tons in the second half to get to the midpoint of our most recent guidance, which is within the range of previous rate by the way as recently as Q4 of last year. The impact to production in the second quarter stemmed from limited gas availability following that malt and sulphur tank failure in February that we reported on previously and subsequent issues at the after class [ph] along with some lower recoveries in PAL due to lower CCD secondary availabilities. I spend some time on the guidance to outline what has happened at Ambatovy in the first half and what's been addressed and I'll outline what still ahead of us there. As you can see from the charts NDCC is an improving story for both Moa and Ambatovy and Andrew will speak more to that and NDCC guidance later on. On the energy slide, Slide 13, we had another good quarter for Cuban oil production and power production is similar to its levels of last year. We saw a slight increase in oil unit operating costs with a natural decline in production rates. Powers unit operating costs continue to fluctuate mainly with the scheduling of major inspections. The oil average reference price Gulf Fuel Oil No. 6 continues to hold at around 88% to 90% of WTI pricing. A much more comfortable place to be then what we were in the first half of last year where it was more like 66%. Our next milestone in oil is the drilling of the second Block 10 well, which is expected to start in August. This well will target the lower of the loss using the first 3300 meters of the previously drilled well. We're just waiting for importation permission for certain materials and supplies that are required for the drilling of the second well, which includes the loss circulation materials required in dealing with a massive loss circulation we encountered in the first well. With this material, we will be prepared to implement methods that have been successful in Western Canada in dealing with similar situations. We expect to be in a position to announce results in the fourth quarter of this year. My last slide, Slide 14, reiterates our guidance for the rest of the year. As you know we are reducing production guidance at both Moa and Ambatovy. We're also reducing our narrowing the NDCC ranges and the expected CapEx. Andrew will speak to the NDCC and CapEx and I have a few points to make on the production guidance revisions. Starting with Moa, I think this one is fairly straightforward, a 1500 ton revision mainly due to the decision not to add some third party scenes and to recognize to a lesser degree the lower production at the Moa mine. Dave talked earlier about what might be the leading indicators for changing market demand for nickel and one is the third party feed market. There is clearly a tightness developing in the third party feed market at third party feed sellers are able to improve their economics. The reduction at Ambatovy is more significant and it takes this back to production levels closer to those of last year. While the results for the first offer quite disappointing much of the loss was associated with the deteriorated condition of this Sulphuric acid plant. Ambatovy has taken over full operation and maintenance of these plants and has put in place mitigation that now have the plants running at full capacity with full acid storage tanks. By operating at or near design rate for long periods of time shared has demonstrated that the flow sheet not only works as a design, but can work well in Madagascar. There are no fatal flaws. It is a various equipments failures that have prevented sustained operation at design rates. And Ambatovy as well advanced in implementing a world class asset management program to address this for the life of the operation. Many of the failures are the result of legacy design and materials of construction choices and these are being addressed in a prioritized manner. For example, the major electrical issues that played the operation in previous years has been all, but eliminated with no total blackout event experienced since October of 2016. In the PAL area 19 rubber line tanks have been re-skin with alloys with seven more planned to end 2018. And by the end of 2017, Ambatovy will have replaced 10 to 12 major risk rubber lined pipe runs with alloys. Aside from production Ambatovy has established a very stable, safe and cost effectives business that is poised to deliver strongly on its profitable profitability potential at as the effects of the asset management program kicks in and the nickel price improves over the coming year periods. For example, Ambatovy has achieved world class safety performance with only one last time injury in the last 22 months and is delivering second quarter all NDCC despite operating at 60% of design capacity this year-to-date. To achieve our revised production guidance for the year, Ambatovy will need to deliver the second half a rate similar to those achieved in Q4 of last year, but I also point out that this forecasting anticipates stronger Q4 and Q3 as we have some maintenance shutdown scheduled in September. With regards to oil gas and power business there are no changes to production guidance. With that, I'll hand it over to Andrew who will talk about NDCC and CapEx revisions next.
Andrew Snowden: Thank you, Stephen and good morning everyone. And I just have a couple of slides to talk to this morning starting on Slide 16, which provides the more detail on our net direct cash cost for the quarter of our nickel operations. As Steve has already mentioned despite the lower production in the quarter we did post very competitive NDCC numbers that both of our nickel operations particularly at Moa, which came in within the lowest quartiles which were the great achievement. As you can see the bottom of the slide there really one of the key drivers behind the NDCC numbers for the quarter was the with strong by-product credits we received on a cobalt side. Compared to Q1 in the second quarter we saw realized prices the cobalt of approximately $25 of pound, which compared to around $19 the pound in the first quarter that's not really helped some improve our NDCC number. And the Dave has already referenced back to that cobalt price and the strength we've seen in a cobalt price year-to-date, but I'd have to revise our NDCC guidance of a year and we lowered our guidance to the Moa and Ambatovy operations which reflects an increase our assumption from $14 a pound which where we sat at the beginning of the year some more forecast perspective to $24 a pound within our latest forecast and still of course rooms for better upside that. The reason why our NDCC forecasted not even lower than we are disclosing it, because it does also reflect the lower production guidance that we've adjusted for the year as well, so both the lower production and improved cobalt price of being reflected that. Looking our mining processing - mining costs and this slide that provides a breakdown of the cost profile of both and Moa and Ambatovy was fairly little change when you look at that from a high level, just a couple of things I'll just point out. Within Moa the costs there were attributed to maintenance slightly increased in second quarter compared to the first quarter as you can see some up slide and that was primarily driven by the annual shutdown at the refinery and fertilizer operations within our Fort Saskatchewan location. Secondly at Moa and this is something that had been clearly evident from the slides that we do continue to benefit from third asset plants at Moa. And to put that benefits in perspectives in the second quarter our total sulphur and sulphuric acid purchases were around £0.66 and that compared to £1.29 in equivalent period last year, so in excess to be £0.66 saving and we achieved that saying saving in the first quarter and we'll expect that to continue and going forward. At Ambatovy the one cost item now which obviously dominates as raw mining and purchasing costs and you can see continue to be maintenance and that push in there still high compared to where we expect it will lead to and we think we feel over time that will trend towards level similar to the Moa mine sites and that will be as the results of the focus on asset liability that Steve took some time talking about earlier on. Turning now to Slide 17, we have the usual cash flow to pull out which show the changes in cash from December around $310 million to be the balance of June, which is approximately $275 million. The main drivers for that change you can clearly see from this slide, we have $30 million of interest paid on debentures, and then approximately $27 million paid down on our revolving credit facility, which really declined our cash balance over that period. But those decreases there have been offset by couple of items and one if you can see in the first column there we generated around $32 million of cash flow, which primarily came from some performance of our energy operations. And also so you'll see that we received $8.6 million some advances and not related to advances that we provided to Moa joint venture. And that's a good news story from my perspective and despite a £4 nickel price environment that we saw from much of the quartet we were able to generate sufficient cash flows of Moa joint venture to pay down some amount I would share it and that really reflects a strong operating cost performance that we're able to achieve that Moa join the quarter. The final point on this slide just to mention briefly of the capital expenditure, which is around $11 million for the year-to-date, the capital expenditure will increase during the second half of the year has already been mentioned and that primarily relates to the drilling on the second well of Block 10. So overall we did reduce our capital guidance by around $20 million for the year and that Dave has already mentioned related to the lower cost of drilling the second well as well of deferring the seismic on Block 8A. That concludes my remarks this morning and now I'll turn it back over to Dave.
David Pathe: All right, thanks Andrew and Steve. Just before we take your questions, I want to just give you a sense of kind of what to look from us in the second half of this year. We shouldn't see our Ambatovy transaction finally come to fruition and close hopefully in time to see that reflected in the third quarter financial statements, but if not time for year end. We should see the continued benefit of these significant group cobalt prices to our results and cash flow from the Moa joint venture. We will have our Block 10 drilling results before the end of the year that will give us a better sense of where we're going next year in terms of Block 10 development. And I also touched on the possibility of further capital reductions in the oil and gas business, we are at this point in time in conversations with our Cuban partners down there in Cuba, the state of the oil company about extensions to our existing production sharing contracts that are due to expire at the end of this year and next year. And this point we're anticipating that will be able to get that done before, which were the first of those contracts expires in November, and the greatest immediate advantage of that would be in addition to being enable us to sustain some level of production as we look to bring Block 10 on mine and potentially other blocks that we're talking about would be a potentially further reduction in capital as a result of money that we currently have here marked for acquisition of new equipment that would otherwise be due to revert back to the Cubans at the expire in those contracts. So we're up more for you on that fall as well. Lastly before I open it up to the operator to take your questions, I do and so some number of you are aware of this already, but I want to highlight that Flora Wood is our Head of IR is leaving us at the end of this week after a little over two years here, I believe I just want to thank Flora for her contributions to share attend and the difference in help she's been to us and our ability to communicate with you and tell our story. She will be greatly we missed, but she's been a great help to us leaving as to the quarter end here. Going forward Joe Racanelli some of you already will be joining us in a couple weeks' time to obviously to the next while here and then we see how we have this longer term after that, but on behalf of everybody here I want to express my thanks and gratitude to Flora and wish her the best of luck in her new pursuits, and we're going to miss her. Operator, with that we'll take any questions anyone may have.
Operator: Thank you. [Operator Instructions] We'll go first to Kevin Cohen of Imperial Capital.
Kevin Cohen: Good morning and thanks for taking the questions and certainly appreciate the granular color in the prepared comments. I guess from a couple different perspectives wanted to touch on Ambatovy is it relates to the exit, and just wondering the transaction fees and other closing costs still to be finalized, is there any sort of thought of that will be kind of similar to the U.S. $30 million the first four point under estimated costs and will the total outflows occur by the end of 2017 or does some of those occur in 2018?
David Pathe: Yeah, I mean there will be transaction costs, in terms of bank or lawyer fees, consent fees to the senior lenders, there's going to be some stamp duty payable in Madagascar on the equity transfers that's still being sorted out that will be some number of millions of dollars all in I would think and if we do depending on when we close, I would expect most of that will be incurred and spent before the end of the year.
Kevin Cohen: That's helpful. And then looking at the organic sort of cost performance at the Moa JV there certainly a bit of noise in the quarter, but just kind of thinking excluding cobalt credits and sort of directionally where that goes. How do you guys kind of think about that over the next kind of two to four quarters maybe where that starts settle out when you look at it more organically just the mining, processing and refining costs et cetera?
David Pathe: The by-product credits always introduced some noise into the net direct cash cost both fertilizer does move at Moa around seasonally somewhat and fertilizer prices have been low obviously we are getting the benefit of stronger cobalt pricing here. But you know the last time we had net direct cash costs at that level they're at today was in 2008 and we have the benefit of a $45 cobalt by-product credit, so there has been progress made on the cost side beyond just riding the back of higher by-product credits and you see that in our asset plant that we completed last year, and other efforts that we've had both in the mining Moa and the refinery Fort Saskatchewan to lower costs and be more efficient. And that I believe is sustainable going forward here for the next year as we see pretty consistent grades coming out of Moa, I think the cost to achievements that we've been able to make beyond commodity price noise in the last couple years are meaningful and sustainable.
Kevin Cohen: And then just one last question, kind of thinking about Block 10 assuming that there is a successful outcome on that front, I guess how do you kind of think big picture is zooming out about sort of the potential total CapEx budget and how the company might approach that over the next kind of one to two to three years whatever that timeframe might be?
David Pathe: I think we'll have more clarity for you on that after we see what the results look like out of this next well, in addition to the potential extensions we are looking at another opportunity in Cuba there could also been a development position by next year and so I'm hoping we'll have more of that over the course of this part. They have the potential I think to absorb a lot of capital if we want them to in terms of their capacity of these fields to be as supportive significant size to oil business for quite a long time. What we've said in the past is that we have a pretty high degree of flexibility to flex that capital spending at a rate at which our balance sheet kind of absorb and it also is linked to the timing of receipts and given receivables. But as we get greater clarity and ideally some success in the second attempt to pierce the reservoir and drilling a Block 10 with some results coming out of that later this year, I think we'll be in a position and to give you more insight as to how aggressively, how aggressive in drilling campaign might be next year on Block 10 of the other areas of Cuba.
Kevin Cohen: That's very helpful. Thanks for the commentary and continued best of luck.
David Pathe: Thanks a lot.
Operator: Next from Scotiabank we'll go to Orest Wowkodaw. Please go ahead.
Orest Wowkodaw: Hi, good morning. And just a quick question with the closing of the Ambatovy transaction potentially moving or at least extending to the end of the year. And as a result of that being you're going to carry that a 40% until it closes. Does that mean that will there be another catch up for in terms of at 40% your funding requirements call it to the end of this year and do you have an estimate of what that could be in terms of will there be any add on to what's already been proposed in addition to the escrow?
David Pathe: Now the short answer to that is no, Orest we haven't funded at a 40% rate since we achieve financial completion in October 2015. And for all the noise in terms of production levels at Ambatovy, Ambatovy every quarter from shares perspective has been no cash in, no cash out so from a cash position it's all neutral. The deal in under 40 for 12 does see us playing catch up on all the funding that has gone into the project, but at a 12% rate from October 2015 not a 40% rate. And I think the numbers you see in the in the presentation today in terms of the split between catch up numbers in to Ambatovy and amounts going to escrow vary a little bit to some of the two is the same, but there's been a bit more into Ambatovy catch up and little bit less into escrow on the basis that there was a small cash call in June just to help fund the interest payment given Ambatovy's production in that in the first six months that didn't have the cash to make that. In terms of whether that changes any more between now and closing at this point my expectation would be that if it doesn't obviously the Ambatovy has another cash call to make in December, but with prices where they are now assuming we can hit some reasonable level of production Ambatovy should be able to generate sufficient cash to be able to make its interest payment. Any further cash calls that are made by Ambatovy between now and closing would just go to we would be would see a further reallocation of the amounts from the escrow to amounts they go straight to Ambatovy to fund it not at the 40% rate, but at the 12% rate.
Orest Wowkodaw: Perfect. Okay. So you're locked in affectively a 12 in a matter of kind of what happens here in the second half. And then just in regards to the offset operating performance clearly it continues to struggle. Can you give us any idea on what we can anticipate from an operational or production perspective for next year, I mean clearly this assets yet to reach its full potential, but is there do you think it's possible that we could never get there at this point?
David Pathe: For all of these the various issues we've had down there in the last couple years Orest, there's still nothing that leads us to believe that this can't get to 100% or north of 100% in terms of its throughput capacity. I mean we've had quarters or extended periods of time down there where it's done that and we've been able to put together a good quarter are our challenges we haven't been able to string together a few good quarters and that's what this all this asset reliability focus that that Steve's elaborated on a little bit has been focused on. I know it's not shining through in the production results on a quarterly basis yet, but as Steve was trying to give you a flavor that we do feel like we are making progress down there and when is the end of this is I'm afraid a bit of a how long is a piece of string type of question, but we do remain confident that there is an end to this and that this assets capable of producing at that with that throughput that the rates are good design to do. And I think that the cost numbers that it's put up-to-date even with was relatively poor production that demonstrated that it can be a viable and profitable asset as well.
Orest Wowkodaw: Okay. Maybe just a follow on in terms of should we think of 2018 as kind of another catch up a year to you know fix some of the engineering issues and design issues or I guess I'm trying to get a sense of how far away do you think you are from reaching that potential?
David Pathe: Yeah, I mean to give you a sense I think what we'll be looking for Ambatovy and not a number for you today, but Ambatovy will be I would expect full your guidance from Ambatovy when 2018 will be higher than what guidance was for Ambatovy before the reduction for 2017, but I would guess it's been not going to be full capacity.
Orest Wowkodaw: Okay. Thank you very much.
Operator: Well here next from Greg Barnes of TD Securities. Please go ahead.
Greg Barnes: I guess returning the Ambatovy again on the asset plant, I think from your comments just maybe it was being run by third party and you have now assumed is that right?
David Pathe: Yes the asset plant was being run by a contractor who is no longer onsite.
Greg Barnes: The implication is they were not running it well or not maintaining it as well they should have been in that is that correct?
David Pathe: Yeah, I would agree with that Greg, and I'm only hesitant, because I'm not sure what I'm tell you here, but yeah it's fair to say that we were not satisfied with the performance of the contractor in the way the asset plant was being run and as a result they are no longer running it.
Greg Barnes: Okay. And secondly that on account to current you said it did it was lower in the quarter of availability and I know you have problems there before what with the issues this quarter and have you fixed?
David Pathe: I'm going to ask Steve to just touch on that and they will do it, it wasn't significant in terms of the chemistry that we had in the past go around on the scene of those seven big CCD tanks that you've seen down there Greg, but you know I just touch on what the issue was Steve?
Stephen Wood: Yeah, yeah the main issue we had there was a - was it right motor and coupling that with that work now we're working and we had to put it down and you shut down one of the CCD seculars to allow us to do the repairs, which means that in the remaining thickeners of course because we have fewer of them or are less effective asset total, have all of them.
Greg Barnes: Okay. So that
David Pathe: Does that answer your question?
Greg Barnes: Yes. That result in.
David Pathe: Yeah that one's get result, it was a mechanical failure then that's been resolved rather than a chemistry process issue like we were having 18 months ago or so.
Greg Barnes: I guess the question that Orest had, just now is looking into 2018. Is there any potential areas of the plant where you do see issues or are you getting to a point now where you feel you've got most of this nail down, I know Steve you addressed that someone in your comments, but I think you got the asset plant nail down to CCDs sounds like it's better where is the next flashpoint for you Steve?
Stephen Wood: So an another area that we're focused on is dealing with corrosion issues, because we are near the ocean, because it is sulphur based plant if you will you're going to going to have a lot of corrosion now we've undertaken an asset integrity program to and we've already identified where those critical items are and over the next year and a half or so addressing those, and putting in a program where we will be on an annual basis inspecting for corrosion then replacing and repairing as needed, so there are always be some corrosion work going forward, but we're playing a bit of catch up on that for this next - for the near term.
Greg Barnes: That's not corrosion within the process of corrosion of the actual infrastructure itself due to the location of the plant next to see.
Stephen Wood: For the most part, yeah.
David Pathe: Just to put that in context of Greg, I mean in terms of what Ambatovy means to us today. For all the issues Ambatovy has been no cash in, no cash out from Sherritt's perspective for two years will close our deal here sometime before the end of the year and put up the money to catch up on the 12 and the escrow with the with reasonable levels of production and commodity prices around where they are now Ambatovy should be able to be at least cash flow neutral between now and 2019. And so we would expect Ambatovy will continue to be no cash in no cash out for the next couple years to the extent there is some small requirements the escrow should be more than sufficient to cover it, and where the rubber would hit the road a bit more is in 2019 when the deferral period on the amortization schedule expires and the project once again has principal repayment obligations on the project financing down there, where if it's running reasonably well, we'll need nickel prices a bit north of where they are today for the for the project to be able to generate sufficient cash flow. But from our perspective and what we liked about, what we are achieving with this transaction in addition to getting that $1.4 billion offered our balance sheet and reducing the debt down to less than $1 billion is that that certainty that in terms of cash demands on shares balance sheets have minimized.
Greg Barnes: If you've got about an 18 month window towards 2019 before you really have to worry about it too much, basically what you're saying?
David Pathe: Yeah.
Greg Barnes: Okay and that's great. Thank you.
Operator: [Operator Instructions] And it appears there are no further questions, at this time I would like to turn the conference back over to Ms. Flora Wood for any additional or closing remarks.
Flora Wood: Okay, thank you Sara. Thank you Dave for your remarks, I'm going to miss you guys and everybody who joined the call, I hope talk to you in my new gig and Joe will be happy to be speaking to you when he starts in August. Thanks.
Operator: And ladies and gentlemen again that does concludes today's conference. And we thank you all for joining.